Operator: Greetings and welcome to Balchem Corporation's Fourth Quarter 2021 Financial Results. At this time, all participants are in a listen-only- mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Martin Bengtsson, Chief Financial Officer. Thank you. You may begin.
Martin Bengtsson: Good morning, everyone. Thank you for joining our conference call this morning to discuss the results of Balchem Corporation for the quarter ending December 31, 2021. My name is Martin Bengtsson, Chief Financial Officer; and hosting this call with me is Ted Harris, our Chairman, CEO and President. Following the advice of our counsel, auditors and the SEC, at this time I would like to read our forward-looking statement. This release does contain or likely will contain forward-looking statements which reflect Balchem's expectation or belief concerning future events that involve risks and uncertainties. We can give no assurance that the expectations reflected in forward-looking statements will prove correct and various factors could cause results to differ materially from our expectations, including risks and factors identified in Balchem's Form 10-K. Forward-looking statements are qualified in their entirety by this cautionary statement. I will now turn the call over to Ted Harris our Chairman, CEO and President.
Ted Harris: Thanks, Martin. Good morning, and welcome to our conference call. Before I get into the quarter, I would like to reflect for a few minutes on some of the significant accomplishments the Balchem team achieved over the past year. Overall 2021 was another very strong year for Balchem. Financially, we grew 13.6% and achieved record sales of $799 million with year-over-year growth and record sales in all three of our business segments. We also delivered record adjusted net earnings of $116.6 million, an increase of 8.2% and record adjusted EBITDA of $189.8 million, an increase of 8.9% from the prior year. In addition, we once again generated strong free cash flow, delivering $124.4 million of free cash flow in 2021, an all-time record while at the same time investing $36.1 million in capital projects to support our continued growth. And we delivered these strong record results while maneuvering our way through all of the challenges of the pandemic and the subsequent supply chain and inflationary pressures that we faced throughout much of the year. It was a team effort and a job incredibly well done by our employees, our partners, and all of our stakeholders who supported us and contributed to our success throughout a difficult and challenging year. Thank you to all of them. Strategically, we had a very good year as well. We made significant progress throughout the year across all of our business segments in advancing the science behind our products. And we capped off the year with another publication from the groundbreaking research at Cornell University on the cognitive benefits of maternal choline intake. We are very pleased to report that the research published in a peer reviewed journal last December confirms that pregnant women who took more than twice the recommended dose of choline during pregnancy had children that demonstrated statistically significant cognitive benefits, which were sustained through early childhood. This study was a follow up to the original Cornell findings published in 2018, demonstrating that higher doses of choline during pregnancy led to improved cognitive performance in infant offspring. This new paper now highlights that cognitive improvements were both significant and enduring in those same children at age seven. More specifically, the seven-year-old children of the high maternal choline intake group had superior overall sustained attention scores and superior ability to maintain correct signal detection throughout the testing regimen. Compared to the other kids whose performance suffered as the testing progressed. Both of these findings were statistically significant. We are excited by the outcome of this very important paper and ongoing analysis of the research data also points to additional enduring cognitive benefits in children that will be the subject of future publications. We are mobilizing omni channel marketing promotions to highlight the benefits of Vita choline in the prenatal segment. Working to activate a consumer education campaign aimed at driving awareness and benefits of Vita choline for pregnant moms. We are proud to support groundbreaking science like this with world-class researchers who are exploring the breadth and depth of choline benefits throughout the human and animal life cycles. We also continue to bring new products to the market as well and are pleased that our new product development metric that measures the percent of sales coming from products commercialized over the last five years and which really measures the vitality of our product portfolio, once again was close to 28% showing that we are indeed bringing new innovation to the market with one of the best examples of this being AminoShure XM, our highly engineered rumen protected methionine product that continues to make significant inroads in the market with over 50% year-over-year growth once again in 2021. Additionally, we made important and significant new investments in plant and equipment in 2021, resulting in significant capacity additions for our human choline chloride, and choline by tartrate product lines, or animal encapsulates or human encapsulates in our plant nutrition chelated minerals product line, with the latter two's additional capacity being added in [indiscernible] for the first time, which will alleviate supply chain constraints and facilitate geographic expansion and growth in the coming years. From a corporate perspective, we have now fully completed our project to consolidate seven ERP systems into one, Microsoft Dynamics 365. With the final site go live occurring in the fourth quarter, we now have 100% of our revenues on the new system. We are extremely pleased with the completion of this project that was delivered on budget and on time. This initiative was critical for the continued growth and operational efficiency of the company and we are very pleased to move from focusing on implementation to realization of the many benefits of being on one integrated systems across the entire company. We also made significant progress in 2021 relating to the company's efforts to advance our environmental, social and governance or ESG initiatives. Balchem released its third sustainability report in 2021, in which we announced our 2030 goals to reduce both greenhouse gas emissions and water usage by 25%. The report details many of the ways we are advancing our environmental, social and governance initiatives across the organization in alignment with widely accepted ESG reporting frameworks. Earlier in the year, we proudly signed the CEO action for Diversity and Inclusion pledge as a further commitment to advance diversity and inclusion within our workplace. We also celebrated the one-year anniversary of our commitment to the UN Global Compact, confirming our alignment with the 10 principles on human rights, labor, the environment and anti-corruption. Recently, as a result of our efforts, Balchem was named one of America's most responsible companies by Newsweek magazine for the second consecutive year. These efforts are fully integrated into our business strategy and we will continue to support our commitment to operating responsibly and creating a sustainable future for our customers, suppliers, employees, communities and shareholders. We continue to take many other important steps and have made significant progress in our continuous improvement journey relative to our corporate social responsibilities, and the achievement of our higher purpose of making the world a healthier place. Additionally, I was very pleased that our Board of Directors added Ms. Kathy Fish to our Company's Board in June of 2021. Ms. Fish formerly was the Chief Research Development and Innovation Officer at the Procter & Gamble Company. So she brings to the Balchem Board important new product development and direct-to-consumer experience, along with her international business acumen and ability to build a growth culture. We are very pleased to have Kathy on our Board, and she will undoubtedly make significant contributions to our growth over the years to come. And lastly, in December, we announced another increase to our annual dividends, taking the dividend from $0.58 to $0.64 per share a 10.3% increase year-over-year. This most recent increase marked the 12th consecutive year of double-digit growth of our dividend, which once again reinforced our commitment to our longstanding dividend strategy. All-in-all, another strong year for Balchem both financially and strategically and we look forward to continuing our momentum into 2022 and beyond. Now, regarding the fourth quarter of 2021. This morning, we reported strong fourth quarter results, revenues of $213.1 million were up 17.9% on 8% organic volume growth, and our adjusted earnings from operations were $37.7 million, up 4.4% versus the prior year quarter. Our net income of $24.9 million, an increase of 12.6% resulted in earnings per share of $0.76 on a GAAP basis. On an adjusted basis, our third quarter non-GAAP net earnings were $27.8 million, an increase of 3.5%, resulting in earnings per share of $0.85 on a non-GAAP basis. And we continue to deliver strong cash flows. Cash flows from operations were $44.5 million for the fourth quarter with quarterly free cash flow of $30.5 million. I am now going to turn the call back over to Martin to go through the detailed consolidated financial results for the company and the results for each of our business segments.
Martin Bengtsson: Thank you, Ted. As Ted mentioned, overall, we delivered strong financial results in a challenging environment. Our quarterly net sales of $213.1 million were up 17.9% versus prior year with growth in all three segments, Human Nutrition & Health, Animal Nutrition & Health and Specialty Products. Our fourth quarter gross margin of $64.1 million was up $7.2 million, or 12.8% versus the prior year. Our consolidated gross margin percent was 30.1% of sales in the quarter, down 138 basis points from 31.4% in the fourth quarter of 2020, a 138 basis point decrease was primarily due to increased raw material, and freight and distribution costs partially offset by higher average selling prices. We've been managing inflationary pressures all year, although input cost increases further accelerated into the fourth quarter. In the fourth quarter, we experienced approximately 22 million of raw material inflation compared to the prior year quarter, and approximately 9 million sequentially compared to the third quarter. In addition, freight and distribution costs have increased dramatically, driving approximately 3 million of increased costs in the quarter compared to the prior year. We're actively working to mitigate these challenges through alternate sourcing strategies and to recover these increased costs through pricing actions. And in the fourth quarter, we pass through approximately 19 million in price increases. As we've shared before, there's usually a timing difference of approximately one to two quarters between increased costs and our ability to raise prices, resulting in a negative impact to our gross margin in the interim period. We've implemented additional price increases here in the first quarter of 2022 to help offset the higher input costs. Following a rapid escalation of input costs through the third quarter and into the fourth quarter of 2021, we have seen a moderating increase of inflationary pressures in the later part of the fourth quarter of 2021 and into the first quarter of 2022. In a scenario where material, inflation is no longer escalating, we believe we will be able to gradually return to more historic gross margin percentage levels in a few quarters time period. Operating expenses for the fourth quarter of 2021 were $30.2 million as compared to $27.9 million in the prior year. The increase was primarily due to an increase in research and development, along with higher selling expenses driven by an increase in compensation related costs. GAAP earnings from operations for the fourth quarter were $33.8 million, an increase of $4.9 million or 16.9% compared to the prior year quarter. On an adjusted basis as detailed in our earnings release this morning, non-GAAP earnings from operations up $37.7 million were up $1.6 million, or 4.4% compared to the prior year. Fourth quarter adjusted EBITDA of $45.6 million was $2.1 million, or 4.7% above the fourth quarter of 2020. Interest expense for the fourth quarter 2021 was $0.6 million, and our net debt was $5.3 million. With an overall leverage ratio on a net debt basis of 0.03x. The company's effective tax rate for the fourth quarter 2021 and 2020 were 24.7% and 21%, respectively. The increase in the effective tax rate was primarily attributable to a reduction in certain tax credits, and lower tax benefits from stock-based compensation. Net income closed the quarter at $24.9 million, up 12.6% from the prior year quarter. This quarterly net income translated into diluted net earnings per share of $0.76 for the current year quarter, an increase of $0.08, or 11.9% compared with the prior year quarter. On an adjusted basis, our fourth quarter adjusted earnings were $27.8 million, or $0.85 per diluted share up $1 million or 3.5% compared with the prior year quarter. We generated quarterly free cash flow of $30.5 million and we closed out the quarter with $103.2 million of cash on the balance sheet. As we look at it from a segment perspective, our Human Nutrition & Health segment generated strong quarterly sales of $115.5 million, an increase of 11.3% from the prior year. The sales increase was driven primarily by strong sales growth within both our minerals and nutrients business as well as our food ingredients business. Earnings from operations for our human nutrition and health segment was $17.5 million, an increase of 7.7% versus prior year, primarily due to the higher sales, higher average selling prices and an insurance reimbursement related to a flash flood event that occurred during the second quarter of 2021 partially offset by significantly higher manufacturing input costs, higher freight and distribution costs and increased operating expenses resulting from increased research and development costs. Excluding the effect of non-cash expense associated with amortization of acquired intangible assets of $4.3 million impairment of convertible notes of $1.7 million and offset by net insurance reimbursements of $2.3 million. Adjusted earnings from operations for this segment were $21.2 million, an increase of 2.3% compared to the prior year quarter. Our Animal Nutrition & Health segment also generated strong quarterly sales of $65 million, an increase of 27.7% compared to the prior year quarter. The increase was the result of higher sales in both the monogastric and ruminant species markets. Overall volumes within the Animal Nutrition & Health segment were up 12.1% with strong growth in sales to monogastric species on higher volumes of feed grade choline, and offerings for the companion animal markets and solid growth in sales to ruminant species without proprietary rumen protected encapsulated products. Animal Nutrition & Health quarterly earnings from operations of $10.1 million were up 19.1% from the prior year quarter due to the higher sales, higher average selling prices and an insurance reimbursement related to a flash flood event that occurred during the second quarter of 2021, partially offset by significant increases in manufacturing input costs and freight and distribution costs. Excluding the effects of non-cash expense associated with amortization of acquired intangible assets of $0.1 million and offset by a net insurance reimbursement of $1.7 million. adjusted earnings from operations for this segment were $8.6 million, a decrease of 0.9% compared to the prior quarter. Our Specialty Product segment delivered strong fourth quarter sales of $27.4 million, an increase of 12.3% compared with the prior year quarter. The increase was primarily due to higher sales of products for the medical device sterilization market, partially offset by lower sales into the plant nutrition market. Sales of our performance gases products, which largely go into the medical device sterilization market grew volumes 2.6% versus prior year quarter and 1.7% sequentially versus the third quarter, showing a gradual recovery of this market despite the negative impact the Omicron variant had on the number of elective surgeries. Specialty Products generated earnings from operations of $6.6 million, an increase of $1.2 million, or 21.8%, the increase was primarily due to the higher sales partially offset by increases in manufacturing input costs and freight and distribution costs. Excluding the effect of non-cash expense associated with amortization of intangible assets of $1.2 million and offset by net insurance reimbursement of $0.3 million. Fourth quarter adjusted earnings from operations for this segment were $7.6 million, an increase of 7.6%. With that, I'm now going to turn the call back over to Ted for some closing remarks.
Ted Harris: Thanks, Martin. We are pleased with Balchem's financial results reported earlier this morning, tapping off another great year for Balchem where we delivered solid growth in both sales, earnings and cash flows. All of this while managing an exceptionally challenging environment with COVID-19 directly and indirectly, leading to disruptions in global supply chains, labor shortages, and escalating cost inflation. We also continue to progress our strategic growth initiatives and remain encouraged about the long-term growth opportunities ahead of us. Our results show that we are well positioned in attractive markets, where we have the leadership and capabilities to be successful not only today, but also into the future. 2021 was a unique and challenging year for all of us. I would like to once again take this opportunity to thank all of the Balchem employees across the world who helped make it happen every day. Thank you very much. I will now hand the call back over to Martin who will open up the call for questions. Martin?
Martin Bengtsson: Thank you, Ted. This now concludes the formal portion of the conference. At this point we will open up the conference call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bob Labick with CJS Securities.
Bob Labick: Good morning. Congratulations on strong operations.
Ted Harris: Hey, Bob. Thank you.
Bob Labick: Absolutely. So obviously some very good news, certainly out of the Cornell study and stuff and really, kind of in the last six months, you have two very big kind of outside validations, including the Cornell study, and then the NRC recommendation as well. So I guess my question is, that with this good positive backdrop and validation, how do you go grow the market further? How do you lean into it? What steps do you take? Is there incremental spending for raise awareness? Is it lobbying? I'm just -- how do you take this this great information and validation and drive growth going forward?
Ted Harris: So Bob, you're right. We've had certainly those two recent validations but others as well. And I think there are more to come. And one reason we've talked about our investments in marketing over the last year or so is, to some extent in anticipation of this because we really do need to -- it's not a matter of lobbying governments, if you will, it's really a matter of driving awareness, building knowledge in the marketplace with the institutions that matter, with the advocates in the marketplace, with doctors, nutritionists and with honestly the supplement and vitamin manufacturers and nutritional beverage manufacturers and so forth. So we've been investing significantly in marketing over the years. And that's an important part of how we're going to leverage these new points of validation by driving awareness, using different channels of communication, digital and otherwise, to build awareness around these studies and the benefits of choline and that's really the leg work and hard work that that we've been doing for some time that we really need to continue to do. And it's not just these studies, but there are more to come, we're really hopeful that, early part of 2022, we'll be able to talk about the important study that shows the criticality of choline with DHA, Omega 3 metabolism, which again, just is another validation that we can use in the marketplace. But that's really how we need to go about it.
Bob Labick: Okay, super helpful. Thank you. And then you gave us an update and spoke about your new product development and vitality and how it translated into sales in the past year. Can you talk about the pipeline going forward? How are you improving the product, any exciting new products coming out this year that you're looking forward to get into the market?
Ted Harris: Yes, absolutely. I think I'm not sure that any or ready for primetime quite yet that we're ready to disclose but we will be releasing additional products this year, really, across all three of our business segments. We have some interesting new products in the plant nutrition space that we're really excited about, that bring a biostimulant capability to our micronutrient product line. So we're very excited about that. In the animal nutrition and health space, we will be launching new products in 2022, both from a next generation perspective, as well as really new to the market. And whether that's the new to the market ones or the latter part of the year or next year. They're being worked on and we're really excited about them. And then also in the human nutrition and health space. And that really have to look at that in the two sub business units within that segment, the food ingredient space where really, we're constantly introducing new and exciting products to the marketplace, many of those are plant-based protein, beverage systems, and so forth. And we'll be introducing many products in that area. And then on the other side, where we think about the minerals and choline nutrients business. We're working on some interesting new developments there. So we're spending more money today on R&D than we ever have, arguably, we should be spending even more. But we're definitely differentially adding investment to our R&D organization. And importantly, as we just talked about marketing as well, because I think they go hand-in-hand. So we're beefing up investment. We're excited about the portfolio. And we're looking forward to introducing, yes, new products to the marketplace this year and in the coming years.
Operator: Our next question comes from the line of Ram Selvaraju with HC Wainwright.
Ram Selvaraju: Firstly, just generally with respect to the overall economic macro environment. Can you maybe talk a little bit about how you're anticipating pricing adjustments may be outstripping inflation, or if you're looking at just sort of keeping pace with inflation going forward and what you expect the outlook to be with respect to updated pricing levels maybe sticking around even after inflation abates. And then also, if you could maybe drill down a little bit on, what additional actions you can take to mitigate transportation costs. Now that, you have a clear sense of, where the worst culprits are, we know what the most significant drivers of those costs are. If there's anything you can really do operationally on that front, that would be helpful to know.
Martin Bengtsson: Yes, good morning, Ram. This is Martin. And maybe we start on the pricing side of the house, where, throughout the year, actually, in 2021, we have consistently been proactively taking price increases in response to the inflation, many times actually thinking that we were getting ahead of the inflation, where, for example, if we thought we had $1 of inflation, and we would, price $1.25 or so. And then inflation has sort of accelerated and outstripped our expectations, so we've ended up on the short side of it and many of our pricing actions, which was the case for full year. We have here in the first quarter and late in the fourth quarter implemented additional price increases, that would put us ahead if inflation stopped, so to speak, if prices were flat, we have priced through so that we can recover some of what we've lost here in the year. So the question is, really, we're pricing to recover and to get our margins to return where they have been historically, so that we get back there. What we don't control is really where inflation goes. So I can't tell you that, will play out that way, but should inflation's not continue to go up, we do expect that our margins will recover based on the price actions that we've already taken. And the ones that are coming here in the next month or so based on the plan. The sticking around of the prices, your second part of the question, okay, well, these elevated prices hang around, even if input costs come down, that varies a little bit, depending on where in the portfolio, you look. We have some parts of the portfolio that follow more index pricing, where we've been hurt in 2021, as prices have gone up, and the index sort of -- there is a delay in the pass through that we've talked about many times, in a reverse scenario where input costs come down, there's a benefit to us right of a delay and the pricing coming down. For other parts of the portfolio where it's not tied to any index or so obviously, like any good business, you try to hang on to the prices to the best of your abilities and that's really going to be dependent on the competitive dynamics and vary across the portfolio where we can hang on to the elevated levels and where we have to give some of it back. But in deflation or if you'd call it that or and reduction in input costs. We definitely benefit from that net-net.
Ted Harris: I guess on that last question. Maybe I'll chime in on the transportation costs. We've found some ways to mitigate the overall costs, but there's no way to avoid the inflation. But we've dampened the impact somewhat. And we've found that air freight spend was more fragmented via multiple third parties than it needed to be or should be. And so, we've been consolidating some of that spend to the extent that we can and we've found that, leveraging a bigger spend with fewer, 3PL's has been beneficial from a cost perspective, particularly on certain lanes. And so we're doing that. We've also found that we can change some of our supplier base and sourcing. I'm thinking of one example as we speak, that we were buying a European manufactured product and shipping it to Malaysia for further processing. And we've now found a more local or kind of within the area of source of that raw material that is enabling us to really just avoid less, reduce the amount of freight that we're using and buy from companies closer to our point of need. So we're doing that, as well as the consolidation of our spend with fewer third parties and that's helping, but it's still a significant inflationary environment. We'll continue to work it. But there's kind of no way around some inflation we have found yet anyway.
Ram Selvaraju: Yes. Okay. And then just a couple of other quick ones. Firstly, in general, when you look at the H&H portfolio and opportunities for expansion, are you interested at all in broadening your exposure to the anti-aging verticals, specifically? And if so, what might be some strategies that you pursue in that arena? If not, why not? Do you just not feel that it's attractive or that it's a good overall strategic fit? And then, Martin as usual, I'll ask the recurrent question of, what would your guidance be for us on 2022 effective tax rate evolution? Thank you.
Martin Bengtsson: Yes. So maybe I'll take that one first on the tax rate, I wouldn't change it to what we've guided in the past around tax rate, but I think we came in here just above 23%, effective tax rate for 2021. And I would expect a similar give or take a little bit plus or minus for 2022. So I would use that same number as the best estimate.
Ted Harris: And to the initial part of your question on the anti-aging, obviously, there are anti-aging elements of the existing products that we serve some minerals more than others. But for Selenium has an anti-aging element to it. And even choline, from a cognition perspective, we firmly believe, and today, there really aren't any human studies, but there are animal studies, there are the studies in young children that clearly show the cognitive benefits of choline. And we will be embarking this year, one of the studies that we're really most excited about this year will be a study that looks at choline impact on dementia and Alzheimer's. And we really believe that there's an opportunity here for choline to be part of that discussion. So of course, that has relevance for anti-aging. So it is an interesting category for us, we already participate to some extent and will continue to find ways to play in that area.
Operator: Our next question comes from the line of Mitra Ramgopal with Sidoti.
Mitra Ramgopal: First, just coming back on the pricing, in terms of, you clearly been having success, implementing several increases and just curious in terms of how much of a pushback you're getting, and then maybe if you can talk about the pricing also in Europe?
Ted Harris: Sure, yes. It's similar in many ways in Europe as it is in North America. But there are also some differences around product category and what's impacting us with Europe right now. The natural gas situation in Europe is having a pretty significant impact on us, many of our raw materials are natural gas derived. So that's something that we're watching very closely and it is impacting us quite significantly, but all-in-all, we're seeing significant inflationary pressures both in Europe and in the U.S. And relative to push back, I guess I would answer that this way that, it's a really difficult environment to be in. We're having very difficult discussions with our suppliers about, we used to have quarterly cost increases from our suppliers or annual that went to quarterly and quarterly that went to monthly and monthly that have now gone to weekly, in many cases. And so, those are our difficult discussions where we're trying to represent ourselves and our customers. And we're having to have those very difficult discussions with our customers as well as we pass on these significant increases. And, it kind of takes away from the discussions you want to be having around growth and new product introductions and all of those things. But I would say generally speaking, given the fact that everybody is experiencing significant inflation, whether it's minimally labor inflation to a whole host of raw material input inflation's. We're doing this in an environment where we're sort of all in the same bucket, if you will. And so I think generally speaking with [indiscernible] by our customers with support and understanding and we are able to move prices forward, because they're having to move their prices as well, because it's not just us coming to them with these inflationary increases. So all-in-all, I think we're in the same boat together, it's difficult. But generally, I think, well received, the one area that I have talked about, I think I talked about in Q3 that is a bit more of a challenge than others, would be in some of the ag areas, particularly in the dairy industry, where some of these cost increases, whether it's our products or others can cause some demand destruction. And so that's one area that that we're -- maybe having a little bit more pushback or more of a cautionary approach than elsewhere. But while that's a very important market for us, and we were bullish about it long-term, it's, again, in the grand scheme of the company, relatively small part of the company.
Mitra Ramgopal: And then just on the M&A front, pre-pandemic, you're able to get a couple of deals done just before the onset of COVID. But nothing since and with the pandemic receding, just curious in terms of your appetite for M&A and has the environment changes it relate to maybe some opportunities that are now out there that might not have existed before and potential which you're seeing in evaluation front?
Ted Harris: I think certainly, our appetite is the same as it's always been, we've always been very keen on leveraging our balance sheet to improve the strategic position of our company and the growth profile of our company by making really smart acquisitions. So our appetite is exactly the same. COVID impacted us a little bit, I think, have also been clear about that for maybe six months, in early COVID, we're scratching our heads, how can we do an acquisition, without touring the plant and meeting the people and all of that. I think that's certainly behind us. And we're active, and I would say, as active as we were, pre-COVID. Valuations are high and so I do think that maybe more than ever, we need to do all the appropriate due diligence and modeling and cash flow, discounted cash flow analyses to make sure that we're getting something that we can have a return on. And so, valuations, I would say are creating some challenges. But everybody knows it's been an incredibly hot M&A market. There are a lot of properties on the market for sale, partly because they want to take advantage of those high valuations. So we're active our appetite is the same as it ever has been. We will continue to identify as we have for the last 18 months. Really interesting strategic opportunities for our Board to consider and I'm confident that as we continue to do that we will add acquisitions to our company once again, like as you pointed out, we did more actively pre-COVID.
Mitra Ramgopal: Okay, thanks. Great. And then finally, just quickly, I don't know, if you have an update on Caremark relationship, and what's going on there?
Ted Harris: Yes, I do have -- there's nothing as significant or material to report, but I do, I can speak to an update there. The relationship with Caremark is as strong as it ever has been. I've talked about in the past that we decided a couple of years ago to change our third-party manufacturing partner. And I'm very pleased that we did that. And the construction of that equipment in that cell is complete. And we're running as we speak validation batches in that equipment. And so, that equipment is very near ready to run launch type quantities of the needed materials. So from our perspective, after making a pretty significant decision a couple years ago to change our manufacturing partner, we feel like we're very, very close to being ready to go manufacture product to supply to the market, as it evolves. And relative to Caremark, again, we've got a very good working relationship with them. They continue to be doing everything that they need to be doing to file the BLA. Again, we believe based on what we're seeing and what we're hearing that will happen this year. And, part of that filing is, has been waiting a bit on us to complete this manufacturing capability. And so that milestone will soon be behind us. And we'll be supporting data from those qualification batches and so forth for the BLA. And so we continue to progress. We still are excited about the possibilities of Caremark in the not too distant future.
Operator: That is all the time we have for questions. I'd like to hand it back to Mr. Harris for closing remarks.
Ted Harris: Yes, thanks, Doug. And once again, I just like to thank everybody for joining our call today. We're really pleased with the results for the fourth quarter of 2021. Particularly given the macroeconomic challenges that we've been facing. And the full year of 2021 was just another very strong year for the company, one that we're very proud of. We set new records financially, while continuing to make good progress, strengthening our company strategically. So we really appreciate your support throughout the year, as well as your time today. And it's hard to believe we're already going to be announcing Q1 2022 results in April, but we look forward to doing that. And thank you again for joining the call this morning. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.